Operator: Good morning. And welcome to Alico’s Second Quarter 2025 Earnings Call. Currently, all participants are in a listen-only mode. As a reminder, today’s conference is being recorded. I would now like to turn the call over to your host, John Mills, Managing Partner at ICR.
John Mills: Good morning, everyone. And thank you for joining us for Alico’s second quarter fiscal year 2025 conference call. On the call today are John Kiernan, President and Chief Executive Officer; and Brad Heine, Chief Financial Officer. By now, everyone should have access to the second quarter fiscal year 2025 earnings release, which went out yesterday at approximately 5 p.m. Eastern Time. If you’ve not had a chance to view the release, it’s available on the Investor Relations portion of the company’s website at alicoinc.com. This call is being webcast and a replay will be available on Alico’s website as well. Before we begin, we’d like to remind everyone that the prepared remarks contain forward-looking statements. Such statements are subject to risk, uncertainties and other factors that may cause the actual results to differ materially from those expressed or implied in these statements. Important factors that could cause or contribute to such differences include risk and tell in the company’s quarterly report on Form 10-Q, annual reports on Form 10-K, current reports on Form 8-K, and any amendments thereto filed with the SEC and those mentioned in the earnings release. The company undertakes no obligation to subsequently update or revise the forward-looking statements made on today’s call, except as required by law. During this call, the company may also discuss non-GAAP financial measures, including EBITDA, adjusted EBITDA and net debt. For more details on these measures, please refer to the company’s press release issued yesterday. And with that, it is my pleasure to turn the call over to the company’s President and CEO, Mr. John Kiernan.
John Kiernan: Thank you, John. Good morning, everyone, and thank you for joining us for Alico’s second quarter of fiscal year 2025 earnings call. I’d like to update you on the progress we’ve made in executing our Strategic Transformation since our announcement in January. At the end of April, we completed our fiscal year 2025 harvest, effectively concluding the majority of our capital investment in Citrus Operations. We will conduct a final harvest on the majority of the remaining 3,783 acres of operational citrus groves in fiscal year 2026. With this transition, we’ve reduced our workforce from approximately 200 to 25 employees, aligning our organizational structure with our transformed business model and significantly lowering operating expenses. On the land monetization front, we’ve completed the sale of 2,100 acres this year as part of our strategy to unlock the value of our substantial real estate portfolio. We previously announced our expectation to realize approximately $20 million in land sales this fiscal year based upon transactions that are under option agreements or have been negotiated and are expected to close this year. We are now raising our outlook to potentially have an additional $30 million of land sales or more this fiscal year, which would be a 150% increase from our prior guidance for fiscal year 2025 expected land sales. This acceleration in land sales could dramatically improve our annual adjusted EBITDA and strengthen our ability to return capital to shareholders. We’ve also been actively engaged with agricultural operators throughout Florida to diversify our remaining agricultural activities. These discussions have focused on potential sod production, expanding sand mining activities, and leases to grow seasonal crops such as corn, sugar cane, and a variety of fruits and vegetables. We’ve negotiated agreements to lease approximately 5,250 acres of different groves to third-party citrus growers next season. We are also in discussions or under contract with other vegetable and fruit growers who are clearing as many as 1,000 acres for us this season in lieu of lease payments. Our entitlement work for our identified near-term development properties is progressing under the guidance of Mitch Hutchcraft, our Executive Vice President of Land Management. Mitch brings nearly four decades of experience in entitlement work throughout Florida. His deep expertise in navigating the complex rezoning and land use approval processes in Florida is invaluable as we work to unlock the development potential of our properties. The Corkscrew Grove Villages development application we filed in March represents a significant milestone in our transformation. This property located in northwest Collier County at the strategic intersection of Collier, Lee and Hendry Counties is being planned for two mixed-use master plan communities consisting of approximately 1,500 acres each. As envisioned, the project will not only provide future residents with ample opportunities to live, work and play in a growing part of Collier County, but will also enhance public infrastructure, permanently protect thousands of acres of sensitive land, and enhance wetlands and water resources. The villages will provide significant economic benefit to the region and improvements will come at no additional cost to Collier County taxpayers. We expect the east and west villages will each accommodate approximately 4,500 homes, 280,000 square feet of commercial space and approximately 70,000 square feet of civic amenities, including village greens, trails, lakes and preserves. We are thoughtfully integrating residential, commercial and civic spaces to create a place where people can live and work, all while enhancing convenience and providing shopping alternatives for residents of Eastern Lee County, Northern Collier and Southern Hendry. Our development application was submitted to Collier County for local approval for the first two villages. While the long-term vision for Corkscrew Grove villages includes two villages, our current application with Collier County only seeks approval for the east village as the first step of a multi-phased project. This current process is anticipated to take approximately one year, with the final decision expected in 2026. Additionally, we have also submitted applications to the South Florida Water Management District and the U.S. Army Corps of Engineers for the entire Corkscrew Village property. Construction on east villages could begin in 2028 or 2029 if all approvals are granted. As part of the company’s long-term planning efforts, we took the proactive step in January 2025 to seek legislative approval from the Florida Legislature to establish the Corkscrew Grove Stewardship District. Upon becoming law, the Corkscrew Grove Stewardship District will assist Alico in its efforts to effectively finance infrastructure, help restore and manage natural areas and oversee the administration of the master planned communities and lands within the District. Importantly, our development approach incorporates strategies proposed by the Florida Wildlife Corridor and the Collier Rural Land Stewardship Area Program with plans to enhance and preserve over 6,000 acres for wildlife corridors and regional connected habitat. This commitment to environmental stewardship reflects our longstanding role as responsible land managers. We are also advancing entitlement work for our Bonnet Lake, Saddlebag Grove and Plant World properties, which collectively represent additional development opportunities across different Florida counties. While the entitlement process involves many variables and stakeholders that can affect timing, we’re taking a methodical approach to navigate these complexities. Collectively, these four near-term development properties, totaling approximately 5,500 acres, are estimated to be worth between $335 million and $380 million in present value dollars and could be realized within the next five years. This represents significant value for our shareholders from just 10% of our land holdings. To support our evolving business model, we recently amended our credit agreement, effective March 31, 2025. This amendment adjusts certain financial covenants and reduces crop and tree insurance coverage requirements, which is expected to result in cost savings, while providing us with the flexibility needed to execute our transformation. We’ve also expanded our capital allocation strategy with the announcement of a $50 million share repurchase program. As our cash balance increases through land sales and the establishment of diversified agricultural operations, we plan to maintain a balanced approach to capital deployment, including our quarterly dividend, opportunistic share repurchases and strategic debt reduction. With these strategic initiatives well underway, I’m pleased with the progress we’ve made in positioning Alico for sustainable long-term growth. To provide more detail on our financial performance and the impact of these transformative steps on our balance sheet, I will now turn it over to our CFO, Brad Heine.
Brad Heine: Thank you, John. Good morning, everyone. The second fiscal quarter ended March 31, 2025. Revenue decreased 1% to $18 million, compared to $18.1 million for the prior year period. For the six months ended March 31, 2025, revenue decreased 9% to $34.9 million, compared to $32.1 million for the prior year period. For the three months and six months ended March 31, 2025, Alico Citrus harvested approximately 4.7 million pounds and 8.7 million pounds solids of fruit, respectively, compared to 5.8 million pounds and 10.4 million pounds solids of fruit in the same periods of the prior fiscal year. As expected, harvest volumes in 2025 were lower compared to 2024, driven by the impact of Hurricane Milton, which hit Florida in October of 2024. Alico’s blended price per pound solids for the three months and six months ended March 31, 2025, increased $0.70 and $0.85, respectively, as compared to the same period in the prior year as a result of more favorable pricing in one of our contracts with Tropicana. As John said, we completed our last major citrus harvest in April and have thus concluded the majority of our capital investment in our Citrus Operations. Land Management and Other operations revenue for the three months and six months ended March 31, 2025, increased 107% and 74%, respectively, as compared to the same periods in the prior year. The increase was primarily the result of an increase in rock and sand royalty income and sod sales, partially offset by lower farming, grazing and hunting lease revenues due to the sale of the Alico Ranch. Total operating expenses for the three months and six months ended March 31, 2025, were $167.7 million and $192.8 million, respectively, as compared to $36.3 million and $64.5 million in the same periods in the prior year. The increase in operating expenses was driven by approximately $118 million of non-cash accelerated depreciation as a result of our Strategic Transformation and the decision to wind down our Citrus Operations, as well as the impairment of our young trees, which were not yet being depreciated and certain other assets at one of our groves of $25 million. General and administrative expenses for the three months and six months ended March 31, 2025, increased $1.1 million and $0.4 million, respectively, as compared to the same periods in the prior year. The increase was primarily due to the accelerated depreciation on certain administrative assets and higher legal fees related to the Strategic Transformation. Other income expense net for the three months ended March 31, 2025, increased $15.3 million compared to the prior year period, driven by the sale of approximately 2,100 acres of land in the second quarter of 2025. Other income expense net for the six months ended March 31, 2025, was a gain of $14.2 million, compared to $75 million in the prior year period, driven by the sale of the Alico Ranch to the state of Florida in the prior year. For the three months ended March 31, 2025 and 2024, the company reported a net loss attributable to Alico common stockholders of $111.4 million and $15.8 million, respectively. The increase in our net loss was principally the result of approximately $119.3 million of accelerated depreciation principle on citrus trees, due to the Strategic Transformation and the decision to wind down our Citrus Operations, as well as the impairment of our young trees, which were not yet being depreciated, and the long lived assets at one of our groves of $25 million. Partially offsetting this, land and equipment sales resulted in a gain of $15.8 million in the current quarter. This was partially offset by a tax benefit of $26.9 million for the three months ended March 31, 2025. For the three months ended March 31, 2025, the company had a loss of $14.58 per diluted common share, compared to a loss of $2.07 per diluted common share for the three months ended March 31, 2024. For the three months ended March 31, 2025, EBITDA was a loss of $14.7 million, compared to a loss of $16.5 million for the three months ended March 31, 2024, and adjusted EBITDA was a gain of $12.7 million, compared to a loss of $16.5 million for the three months ended March 31, 2024. Turning now to our balance sheet and liquidity. Cash and cash equivalents were $14.7 million as of March 31, 2025, compared to $3.2 million at the end of fiscal year 2024. Net cash used in operating activities was $0.6 million for the six months ended March 31, 2025, compared to $19.7 million for the six months ending March 31, 2024. At quarter end, we had approximately $88.5 million of remaining availability on our line of credit and there were no significant debt maturities until 2029. Total debt was $89.6 million and net debt was $74.9 million as of March 31, 2025, compared to $92.1 million and $89 million, respectively, at the end of fiscal year 2024. Now I’d like to turn the call back to John to discuss our fiscal year 2025 outlook.
John Kiernan: Thank you, Brad. Now let me share our guidance for fiscal year 2025 and some concluding thoughts on our strategic direction. Our Strategic Transformation to become a diversified land company has already exceeded our fiscal year 2025 goals. At this time, we are forecasting that our cash balance at the end of this fiscal year will be approximately $25 million and our net debt will be approximately $60 million with only the required $2.5 million balance outstanding under our revolving line of credit. We expect to generate approximately $20 million in adjusted EBITDA in fiscal year 2025. These projections are supported by the previously announced estimate of $20 million of land sales and cash generated by the 2024-2025 citrus harvest. We currently project that land sales could potentially exceed $50 million this year, which would increase our adjusted EBITDA and cash and decrease our net debt projections. But we recognize that each pending transaction has its own challenges, just as all previous sales Alico has transacted over the past decade have experienced, and there is no certainty regarding timing until sales are closed. Looking ahead to the remainder of fiscal year 2025, we’ll focus on completing the sale of our remaining identified lands, continuing entitlement work on our development properties, finalizing agreements with agricultural operators for our diversified farming operations, and further strengthening our balance sheet to support long-term value creation. When considering the full scope of our transformation, we believe the present value of our current land holdings could be worth approximately $650 million to $750 million, with roughly 75% valued for agricultural use and assuming about 10% entitled for development within the next five years. I’m confident that our Strategic Transformation positions Alico to deliver enhanced long-term returns for our shareholders by balancing the development of select high-value properties with diversified agricultural operations, we’re creating a business model that leverages our core strengths while adapting to market opportunities. And with that, we’ll now open the line to questions from industry analysts. Margo?
Operator: Thank you. [Operator Instructions] We’ll take our question from Gerry Sweeney with ROTH Capital. Please go ahead.
Brandon Rogers: Hello. This is Brandon Rogers for Gary -- for Gerry Sweeney. Thanks for taking my question.
John Kiernan: Our pleasure. How are you doing, Brandon?
Brandon Rogers: Good. Good. I just had a question on the $15.8 million landfill in the quarter. Could you just provide any additional color there? You said it was -- how many -- I don’t know exactly how many acres you said, but...
Brad Heine: The 1,000 acres you’re talking about?
John Kiernan: Landfill in the quarter.
Brad Heine: Yeah. Landfill…
John Kiernan: The $15.8 million.
Brad Heine: 2,100 -- that was 2,100 acres.
Brandon Rogers: All right. And then what county was that located in?
Brad Heine: Off the top of my head, I -- oh, wait, Hendry County.
Brandon Rogers: Hendry. All right. Thank you. And then, so for the actual $50 million in land sales for the current year, are you in current discussions with any other land sales? And then what gives you confidence in potentially achieving the $50 million aspiring target for the year?
John Kiernan: We’ve negotiated an agreement to sell some acres. It’s still going through a process, so it’s going to go through diligence right now, and that’s underway. So the timing is a bit uncertain as the diligence process proceeds. And the second part of your question is we’re talking to several other parties about potential land sales, but nothing that’s solid enough for us to report at this time.
Brandon Rogers: Okay. Thank you. And then turning to Corkscrew, you said construction on the village could begin in 2028 or 2029 if all approvals are granted. What are some potential milestones we can watch for between now and the potential entitlement approvals?
John Kiernan: I think the entitlement approvals themselves are kind of what the milestones would be. There will be a lot of kind of individual meetings and revisions and resubmittals as we go. But I think as you see the approvals at the local, state and federal levels come through, you’ll know where the milestones stand.
Brandon Rogers: Awesome. Thank you for taking my questions.
John Kiernan: Thanks, Brandon.
Operator: Thank you. At this time, we have no further questions. I’d like to turn the call back over to our speakers for final remarks.
John Kiernan: Thank you, Margo. And thank you to everyone for joining us today. We appreciate your continued support as we navigate this exciting Strategic Transformation. And we look forward to updating you on our further progress in the coming quarters. We’ll see you in August.
Operator: Thank you. And this does conclude today’s program. We thank you for your participation. You may disconnect at any time.